Operator: Good morning. Welcome to Kimco’s Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to David Bujnicki, Senior VP, Investor Relations and Strategy. Go ahead.
David Bujnicki: Good morning and thank you for joining Kimco’s fourth quarter 2020 earnings call. The Kimco management team participating on the call today include Conor Flynn, Kimco’s CEO; Ross Cooper, President and Chief Investment Officer; Glenn Cohen, our CFO; David Jamieson, Kimco’s Chief Operating Officer as well as other members of our executive team that are also available to answer questions during the call. As a reminder, statements made during the course of this call maybe deemed forward-looking. It is important to note that the company’s actual results could differ materially from those projected in such forward-looking statements due to a variety of risks, uncertainties and other factors. Please refer to the company’s SEC filings that address such factors. During this presentation, management may make reference to certain non-GAAP financial measures that we believe help investors better understand Kimco’s operating results. Reconciliations of these non-GAAP measures can be found in the Investor Relations area of our website. Also, in the event, our call was to incur technical difficulties, we will try to resolve as quickly as possible and if the need arises, we will post additional information to our IR website. And with that, I will turn the call over to Conor.
Conor Flynn: Thanks, Dave. Good morning and thanks for joining us today. I will begin by giving a quick overview of our accomplishments in 2020 and our strategic focus for 2021 and beyond. Ross will follow with updates on transactions and Glenn will close with our key metrics and guidance for 2021. For all of us, 2020 was a year that will not soon be forgotten. COVID, the political landscape, social unrests and the responses to these events all converged in a way that will forever change our way of life. 2020 was also a year that demonstrated in volatile times, the best companies are the ones that are able to withstand economic challenges, mitigate risk and take advantage of opportunities. In the shopping center sector, this requires a strong balance sheet, a resilient, well-located portfolio and a superior management team. I am happy to report that while we are not immune to the volatility of 2020, Kimco’s open air, grocery-anchored shopping centers and mixed-use assets performed well and we have stayed strong, confident and positive about the opportunity in the coming year. Our portfolio withstood all that the pandemic threw at us as our 2020 vision strategy to reposition our portfolio was validated. Our grocery-anchored essential services and mixed-use assets concentrated in the strongest markets in the U.S. proved resilient. In 2020, we saw continued improvement in both the percentage of ABR coming from essential retailers and grocery-anchored centers. Growing the portfolio from 77% of ABR from grocery-anchored properties to 85% plus remains a strategic focus across the organization. We are encouraged by the progress and the increasing level of opportunities in the pipeline we are currently evaluating. As part of these efforts, we are pleased to share today the upcoming opening of Amazon Fresh at our Marketplace at Factoria in Bellevue, Washington. During the fourth quarter, we executed 92 new leases, totaling 406,000 square feet, which exceeded the amount achieved in the fourth quarter of 2019. The true test of a portfolio’s quality and durability is leasing and the ability to drive rent. To that point, new leasing spreads remained positive, rising 6.8% during the fourth quarter. We anticipate that our range between economic and physical occupancy will continue to widen as a precursor to future cash flow growth. With the help of our nationwide network of relationships, tenants, brokers and our in-house team, we are experiencing robust demand from our essential retailers who continue to take advantage of the COVID surge that allows them to boost cash reserves, invest in the existing stores and expand their store portfolio to better serve their customers. We are also laser-focused on keeping our existing tenants and continue to do everything we can to help them overcome the pandemic and to be positioned to process. Our tenant assistance program, or TAP, helps small businesses navigate the new round of PPP funding. After successfully helping our small shop tenants navigate the first round of PPP funding, we believe we have aligned with best-in-class partners to continue to aid our small business tenants and accessing capital at their most critical time of need. Our strong balance sheet, well-positioned portfolio and tenant initiatives are all the results of our best-in-class team and approach. Specifically, our leasing team was proactive in its efforts to work with current and prospective tenants and our finance, planning, technology, investor relations and legal teams effectively navigated numerous obstacles and kept us focused without skipping a beat. So where do we go from here? First, our highest priority is leasing, leasing, leasing. The good news is we have visible growth in the portfolio and meaningful free cash flow to fund our leasing strategy. This has provided us the confidence to provide an outlook for 2021. We anticipate the first half of the year to remain challenging, especially for those categories dramatically impacted by the pandemic induced shutdowns. It is worth highlighting that our team pushed this portfolio to all-time high occupancies pre-pandemic and we are determined to get back to that level and exceed it. While anticipating the speed at which we will recover NOI is challenging, we do expect rents to hold up, especially in our well-located boxes that are in high demand from categories that include grocery, off-price, home goods, home improvement, furniture, health, wellness, medical and beauty. Interesting to note, we are starting to experience a rebound in both restaurant demand and value fitness retailers. Finally, on our long-term strategic focus, we continue to believe that streamlining the portfolio over the past 5 years will result in meaningful long-term value creation for our shareholders. We are focused on the highest and best use of our real estate and believe the 80/20 rule applies to our assets and gives us tremendous flexibility and adaptability to create value in the future through our entitlement initiative. Specifically, 80% of our real estate consists of parking lots that are not generating any revenue and 20% is single-storey building. With our focus on clustering our assets in dense areas with significant barriers to entry, our assets are in an ideal position for growth as the surrounding areas of down vertical. Our entitlement team is sharing our ESG accomplishments with all local municipalities as part of our efforts to show that we will be good stewards of their neighborhood and that we want to work together to make sure our assets continue to evolve alongside the community. We believe it is important that our approach to real estate evolve with changing circumstances, because that is exactly what our tenants are doing. The best-in-class tenants are looking at their real estate differently. And in many cases, their real estate team is now integrated into the entire supply chain, distribution, fulfillment, e-commerce and store decisions are all integrated on how to best service the customer. The store, which is optimized for distribution and fulfillment, continues to shine as the most economic way to get goods and services into customers’ hands. Best Buy CEO, Corie Barry, at the CES conference was very clear when she said physical stores are expected to play a massive role in the company’s fulfillment effort. Target also stated that more than 95% of sales are fulfilled by its stores. I continue to share the words from our largest tenant. The role of the physical store is poised to become broader than ever with the locations serving as fulfillment epicenters that quickly and easily get customers whatever they need. Put another way, the convergence of retail and industrials accelerate and we are positioning the Kimco portfolio to take advantage of this new utilization by partnering with our retailers to ensure that Kimco assets are all optimized to gain market share and to make the stores of Kimco even more valuable. In closing, Kimco’s open air grocery-anchored portfolio provides consumers a safe and easily accessible destination for goods and services. Our diverse tenant mix and targeted geographic presence in the strongest growth markets, supported by our well-capitalized balance sheet and our entrepreneurial approach, positions us to unlock value for all stakeholders in the years to come. With that, I turn the call over to Ross.
Ross Cooper: Thank you, Conor and good morning. As Conor discussed, 2020 was a challenging year, but there are signs of life in the transactions market with deal flow starting to pick back up. The overall transaction volumes from March through year end were down close to 85%, but there were several late 2020 deals that showcase the general theme we have seen occurring. The majority of transactions have been with essential based retail anchors, notably grocery. For the most part, size is good, but too big can result in the inability to finance the large or nonessential based tenancy thus requiring a much bigger equity check for those deals. For the smaller grocery assets, the financing community has remained resilient, but again, rent rolling cash flow uncertainty for the chunkier assets have made those a bit more challenging. Multiple grocery anchored deals have transacted at sub 6% cap rates in Denver, South Florida, California, Washington DC, North Carolina and throughout the major primary and secondary markets in the U.S. while we are bullish on that asset type, which represents the core products within our portfolio, there is no shortage of capital chasing those deals. As we discussed on last quarter’s earnings call, the limited supply of attractively priced, high-quality assets versus our current cost of capital, has led us to tailor our investment program. As it relates to our structured investments program, we made two small investments on a pair of very high-quality shopping centers during the quarter. A $25 million mezzanine financing on a strong South Florida shopping center and a $10 million preferred equity investment on a densely located center in Queens, New York, both of which will generate an accretive return versus our cost of capital with a chance to possibly acquire in the future. Additionally, as we have done many times, recently, we were able to leverage our strong tenant relationships, particularly with those that are real estate rich to uncover another unique investment that represents significant dislocation and value. To that point, we completed a sale leaseback transaction in which we acquired 2 Rite Aid distribution centers in California for approximately $85 million. These distribution centers service all 540 plus stores for the pharmacy chain in the state of California. Rite Aid is releasing these back on a long-term basis with annual rent bumps and zero landlord obligation. This investment will provide an attractive return with an IRR well excess in of our cost of capital and enhanced NAV for the company. We continue to evaluate new opportunities selectively and believe our tenant relationships, flexible structuring and conviction in our product type, puts us in an enviable position to capture upside in a period of dislocation. This is an important long-term complement to our business with the one constant being our approach of owning high-quality assets at a positive spread to our current cost of capital, while mitigating potential downside risk. Furthermore, we believe this approach will create a future pipeline of opportunistic acquisitions with the right of first refusal or right of first offer when our cost of capital returns. With that, I will pass it along to Glenn for the financial summary.
Glenn Cohen: Thanks, Ross and good morning. With our fourth quarter operating results, we delivered further improvement compared to the sequential third quarter with higher rent collections and improvement in credit loss. For the fourth quarter of 2020, NAREIT FFO was $133 million or $0.31 per diluted share as compared to $151.9 million or $0.36 per diluted share for the fourth quarter 2019. The reduction was mainly due to rent abatements and increased credit loss of $21.2 million and lower net recovery income of $5.7 million. This reduction was offset by lower preferred dividends of $3.1 million and a $7.2 million charge for the redemption of preferred stock in the fourth quarter of 2019. Now although not included in NAREIT FFO, during the fourth quarter of 2020, we did record a $150.1 million unrealized gain on the mark-to-market of our marketable securities, which was primarily driven by the change in value of our 39.8 million shares of Albertsons stock. Our stake in Albertsons is valued in excess of $650 million today. For the full year 2020, NAREIT FFO was $503.7 million or $1.17 per diluted share as compared to $608.4 million or $1.44 per diluted share for the prior year. The change was primarily due to increases in rent abatements, credit loss and straight-line reserves aggregating $105.8 million and the NOI impact of disposition activity during 2019 and 2020, totaling $24.7 million. In addition, during 2020, we incurred a $7.5 million charge for the early extinguishment of debt. These reductions were offset by lower financing costs of $15.7 million and an $18.5 million charge for the redemption of $575 million of preferred stock during 2019. Although we continue to be impacted by the effects of the pandemic, our operating portfolio has shown signs of improvement, as Conor discussed earlier. All our shopping centers remain open and over 97% of our tenants are open and operating. Collections have continued to improve. We collected 92% of fourth quarter base rents and this compares to third quarter collections of 90%. Deferrals granted during the fourth quarter were just under 2%, down from 5% during the third quarter. At year end 2020, 8.2% of our annual base rents were from tenants on a cash basis of accounting and 50% of that has been collected. As of year end, our total uncollectible reserve was $80.1 million or 46% of our total pro rata share of outstanding accounts receivable. Now, turning to the balance sheet, we finished the fourth quarter with consolidated net debt-to-EBITDA of 7.1x and on a look-through basis, including pro rata share of JV debt and preferred stock outstanding to level of 7.9x. This represents further progress from the 7.6x and 8.5x levels reported last quarter, with the improvement attributable to lower credit loss. On a pro forma basis, if our Albertsons investment was converted to cash, these metrics would improve by a full turn to 6.1x and 7x respectively, levels better than we began last year. We ended 2020 with a strong liquidity position comprised of over $290 million in cash and $2 billion available on our untapped revolving credit facility. We have only $140 million of consolidated mortgage debt maturing during 2021 and our next bond does not mature until November 2022. Our consolidated weighted average net maturity profile stood at 10.9 years, one of the longest in the REIT industry. In addition, our unsecured bond credit spreads have improved significantly. By way of example, our 10-year green bond issued in July 2020 at 210 basis points over the 10-year treasury is currently trading in the area of 90 basis points over treasury. This spread is the lowest among all our peers. Regarding our common dividend, we paid a fourth quarter 2020 common dividend of $0.16 per share. As such, we expect our Board of Directors to declare the common dividend during the first quarter of 2021, reflecting a more normalized level that at least equals our expected 2021 taxable income. Now, for guidance, while the pandemic and its effects on certain of our tenants continues, we are comfortable establishing NAREIT FFO per share guidance for 2021. Our initial NAREIT FFO per share guidance range is $1.18 to $1.24. This is also a wider range than we have historically provided taking into account the potential variability of credit loss levels due to the ongoing pandemic. Other assumptions include flat to modestly higher corporate financing costs and G&A expenses as well as minimal net neutral acquisition and disposition activity. This 2021 guidance range assumes no transactional income or expense, no monetization of our Albertsons investment and no additional common equity issued. Lastly, keep in mind that our 2021 first quarter results will be relative to a pre-COVID first quarter in 2020. Notwithstanding the expected optics of the first quarter results, our NAREIT FFO per share guidance range of $1.18 to $1.24 reflects growth over 2020 at both the low and high-end of the range. And with that, we would be happy to take your questions.
David Bujnicki: Before we start the Q&A, I just want to let you know that the line up for people in the queue is very deep. So, in order to make this efficient, again, just a reminder that you may ask a question and then have one follow-up and then you are more than welcome to rejoin the queue, so we could get through this pretty efficiently. With that, you could take the first caller.
Operator: [Operator Instructions] Okay. Our first question is from Rich Hill from Morgan Stanley. Go ahead.
Rich Hill: Hey, good morning guys. Hey, Conor, I just wanted to talk through the guide a little bit. My perception is that you guys have a history of being conservative and when I look at the guide, the high-end of the range looks like it’s just an annualization of 4Q. The low-end of the range looks fairly low. Can you just maybe walk through that and how we are supposed to think about it? And again, I recognize given the uncertainty in the world, why you would want to be conservative, so I am not calling you out for it. I am just trying to understand a little bit better and where the risk might be to the upside or the downside?
Conor Flynn: Sure, Rich. Nice to hear from you. Look, we have never given guidance in a pandemic before. We think it was important to give guidance really to showcase that we have a good handle on the portfolio and the cash flows. Clearly, there is a lot of unknown that still can exist in the coming year. We’re not out of the woods out yet of the pandemic. If you think about the variants that are out there, the virus, if you think about the distribution of the vaccine, there is a lot of things that could really dramatically impact some of the returns that we are anticipating. And we thought that it’s important to showcase growth and showcase that we believe that we are – we have a defensive nature of portfolio that is now sort of up and running even in the midst of the pandemic. But clearly, there is a lot of unknown that could impact the earnings potential for 2021.
Glenn Cohen: It’s Glenn. Let me just add a couple of things that may help you also. The credit loss levels, obviously, are pretty wide ranging, and that’s a big part of what’s in those guidance numbers. So we had, as I mentioned, $106 million of credit loss between abatements and reserves and straight-line reserves. So we are still – we have baked into this guidance, still another $80 million to $100 million for this year. So that’s a component of what’s in there. The other thing that I want to bring out also is we do have less interest capitalization because of the projects that have come online. And that interest capitalization will be $8 million to $10 million less for this year. And similarly, we are capping less construction payroll of another $4 million to $6 million. So take those into account the capitalization differences when you are looking at the guidance as well.
Rich Hill: Got it. That’s helpful. I am going to not ask any more questions because I don’t want Bujnicki tracking me down and telling me I asked too many. So, thanks guys.
Operator: Our next question is from Kate [indiscernible] from Goldman Sachs. Go ahead.
Unidentified Analyst: Hi, good morning. Maybe just in terms of the deferrals that you did grant in 2020 to the tenants that needed them, could you go through the expected timing for receipt of those and to the extent that any have been paid or should have been paid by now, how that outlook for receiving the deferrals on time is going?
Glenn Cohen: Yes. So the deferrals that we have done, most of the deferrals will get are expected to get collected over the next 18-month period, so a good portion during 2021 and some into 2022. Of the deferrals that we have billed most in the fourth quarter, mostly in the fourth quarter, over 90% of the ones that we have billed have actually been collected. So, so far, it’s going pretty well.
Unidentified Analyst: Okay. And then in terms of the sectors that look like they are weighing down the rent collection for services, which isn’t surprising, but there are also collection rates under 100% for other categories, including essential ones. So, I was just wondering if you could go through, does it seem like rent collections are plateauing or what’s your outlook for when the essential tenants and those non-essential ones but not directly impacted by capacity constraints could improve to 100%?
Glenn Cohen: Well, Kate, we have never had 100%. I think that’s a starting point, right. For the most part, on a historic basis, normally, we would collect around 95% during a given month. And then over the following months, we would collect the other 3% to 4%, and then you have your credit loss that comes into play. When you look at the collections, again, collections were 92% for the quarter. So definitely starting – we are seeing improvement. 91% collected so far for January. We don’t think that we have hit the peak yet. We still have more to do. And again, we are still being impacted on the closures that have occurred certainly out on the West Coast hitting restaurants and a lot of the nonessentials, but collections are continuing to improve.
Unidentified Analyst: Okay. Thank you.
Operator: Our next question is from Samir Khanal from Evercore. Go ahead.
Samir Khanal: Hi, good morning, Conor. I was just trying to get a better feel for – about of the recovery, how the recovery plays out over the next several quarters and sort of the pace of that recovery. If we are assuming occupancy trough, let’s say, in the second quarter or the third quarter, how quickly do you think you can get back to sort of pre-pandemic levels, right, let’s say, an occupancy of mid-90s given the amount of leasing and the robust demand you have been talking about?
Conor Flynn: Yes, it’s a good question. I think a lot of it has to do with – I think the demand is going to be there. First and foremost, we are seeing it now come back on the small shop side. Because originally, the box demand or the anchor demand never really subsided. So clearly, it was heavily weighted towards essential retailers through the past few quarters, and now you are starting to see some of the nonessentials come back for any type of well-located anchor box that’s available. So, I would anticipate that to come back first. But now what’s interesting is the small shops are starting to come back and we are seeing it a pretty wide spread of demand sources. I will have Dave Jamieson comment on some of the small shop demand that he is seeing.
David Jamieson: Yes. No, I appreciate it. I mean right now, we are seeing it on the restaurant and the service side is actually coming back in a surprising way and in a positive way. And I think what you are seeing is operators, entrepreneurs, restauranteurs, seeing the vacancy within high-quality portfolios in the near-term as a way in which to either expand their existing operation or get into markets that they otherwise were challenged to do so. And so we’ll start to see that pick up. And when you look at the velocity in Q4 2020, I thought that was a really encouraging sign from a lease-up standpoint and what we’re currently seeing as we move through Q1 is that, that momentum is continuing to build. So I think the one good thing is that the vaccine has provided some endpoint, the idea that at some point and hopefully, the not too distant future, we will see this pandemic somewhat behind us. So people are starting to prepare. Investors are starting to prepare for what that will look like and how do they set up their business accordingly. And again, on the nonessential side, we say not essential, but when you think of the performance, especially with the investment-grade retailers and how well they have done from a public standpoint through this pandemic from a stock share price, they are really on sound footing and see this opportunity to their expand market share and again, enter into higher quality portfolios knowing that, that window will only be open for a limited time. So we are cautiously optimistic about the future here.
Samir Khanal: And then I guess as a follow-up, I mean, has your view changed on NOI growth, let’s say, not for ‘21, not so much focused on ‘21, but let’s say sort of this peak to trough end of ‘19 to ‘21/22. I mean has your view – do you feel like you can do better than down 10%? I mean, how are your views today? How do they compare to, let’s say, end of 2Q last year and even into 3Q last of year?
Conor Flynn: Well, clearly, the demand side has changed since we talked about it in Q2, Q3 of last year. And I think that there is still a number of variables there on the NOI, because I think the biggest variable is on the most impacted categories and how they’re going to weather through these next few quarters, entertainment, restaurants, fitness services. Those are really where there is a pretty wide spread of scenarios that could play out. We feel good about pent-up demand. We do feel like there is going to be a lot of revenge shopping and revenge spending. I can’t tell you how many conversations I’ve had about what restaurants people are going to go to or what fitness club they are going to go back to or what trips they are going to take. So I think if we think that the vaccine plays out and there is not a variant of the virus that doesn’t have another sort of wave of infections, we clearly have some visibility now that there’s some green shoots on the horizon that we are cautiously optimistic about.
Samir Khanal: Great. That’s it for me. Thanks.
Operator: Our next question is from Haendel St. Juste from Mizuho. Go ahead.
Haendel St. Juste: Thank you, operator. Hey, good morning out there guys. Question on redevelopment, pipeline here is about $220 million at year end, including the new Pentagon center, that’s up pretty meaningfully from last quarter. I guess, are we back in the redevelopment game here? How do you foresee the near-term prospects for the pipeline, what type of yield, how large and will that be funded with disposition proceeds or perhaps some of the Albertsons stock now that the window is open for some of that?
Conor Flynn: Sure. I can start and Dave can give some more color on it. Look, we have seen in our supplemental that we have added the entitlements that we have achieved over the past 5 years. And we believe there is a lot of value to be created on our asset base just on the entitlement initiative. And then what we look through is the decision tree of how to activate those entitlements. And what we have done over the past 5 years is we have sold some entitlements. We have ground leased some entitlements and we have joint ventured some entitlements to unlock that value. And depending on our cost of capital, depending on the supply and demand in that trade area, we really look at the spread to our ROI, what the exit cap would be and trying to have a 200 basis point spread there between what we believe we can deliver the project at and what we could sell the project at. And so Pentagon, obviously, is the one where we feel like there is a pretty unique set of circumstances there. If you haven’t seen the Amazon rendering of the Helix and what they are doing right across the street from our Pentagon Center, it’s going to be pretty dramatic. And with the success of the Witmer and some of the cap rates that have traded in that trade area, we feel very comfortable with adding that to the pipeline in a joint venture. It’s with CPP. We have very solid multifamily experts that helped us with the first tower that’s also helping on the second tower. And we feel like that’s the right project to add to the pipeline. But going forward, we are going to be very selective. We do like the initiative of ground leasing a lot of our entitlements. We feel like that’s the way to not have a significant amount of capital tied up into these larger scale projects. But we love the smaller scale projects that are double-digit type returns, where you are adding an out parcel or a pad with a drive-thru or expanding an existing tenant. Those are ones that typically run in the range of $75 million to $100 million a year and have that double-digit type return. So, you will see that being consistent, but we will be mindful of how much we add to the pipeline going forward and be very selective on that.
Haendel St. Juste: Okay. And then any comment on you make on Alberstons a window, I understand opened early this year for a portion of the – potentially how you sell from those shares. So curious, have you – can you comment and would that be to fund some redevelopment, debt pay-down, some of the mezz investments you are looking at, curious what the potential use would be? Thanks.
Glenn Cohen: Hi, Haendel, it’s Glenn. As I mentioned in my prepared remarks, the guidance that we have has no Albertsons monetization in 2021 in it. Again, we will monitor the investment obviously very closely and it’s really geared towards debt reduction more than anything else. That’s what we have kind of earmarked those proceeds over time for. Again, cash is fungible, but again, we think of it more in terms of an ability for further debt reduction as we go forward.
Haendel St. Juste: Got it. Got it. Thank you, guys.
Operator: Our next question is from Derek Johnston from Deutsche Bank. Go ahead.
Derek Johnston: Hi, everybody. Thank you. So, omni-channel and BOPUS trends have been very encouraging and you actually pointed them out pretty well in the investor presentation. What’s the driver besides COVID? Is it that fulfillment is easier at the local store level? Are retailers using their store fleet now in lieu of possibly more expensive industrial or distribution facilities? So, as you talk to your retailer management teams like what are the key drivers that they speak to with increase in this trend?
Conor Flynn: Yes, you are exactly right. I think when we have open dialogue with our retailers, they are looking at their real estate differently, and they’re seeing their store base as a distribution fulfillment point that can solve for the last mile. The last mile is something that’s been tried to be cracked now for a number of years. And with BOPUS, with curbside pickup, you have to have that amenity available to your customer to offer a suite of services. But what’s being unlocked, I think, is the store is being optimized to service that last mile in more ways than one. And you are seeing the changes being made primarily from the best-in-class retailers as they set the blueprint for others to follow. But it is very clear when you look at who are the most successful retailers are but the store is being utilized as that last mile fulfillment point. And I wouldn’t be surprised if you start to see more incentives for customers to drive to the store because the margin is higher there and they can take advantage of that by incentivizing them with coupons that really can get people to take control over when they want the good, how they want the good and it does drive up margin for the retailer. So they are looking at it very differently.
Derek Johnston: Okay, thank you. No, that’s helpful. And then just a very quick follow-up, clearly, a bright spot has been leasing where would you say your leasing pipeline is now versus pre-COVID levels? Thanks guys.
Ross Cooper: Yes. No, our leasing pipeline is – I mean, as I mentioned earlier, related to Q4 2020 performance. And when you compare it year-over-year, it basically is at that level of pre-pandemic. And when you look into ‘21, the ‘21 Q1 is usually historically a little bit lighter post holiday and you tend to see an increase in vacancies, which is normal. But what we have been seeing is extremely encouraging. So again, as people are seeing this opportunity of displacement, new vacancies coming to market, they want to take advantage of it knowing that, that window will close shortly thereafter.
Operator: Our next question is from Mike Mueller from JPMorgan. Go ahead.
Mike Mueller: Yes, hi. A quick question, I guess, on the Rite Aid warehouse acquisitions. So how should we think about that and what’s on the table now to buy? How wide is the scope for what you put capital into?
Ross Cooper: Sure, Mike. I am happy to answer that. So when you look at the Rite Aid transaction, I would just point to sort of the history of our plus business and the fact that we have taken advantage of sale leaseback opportunities many times in the past. Most recently, obviously, the Albertsons investment, where a smaller component of that transaction that maybe doesn’t get the same level of showcases, the bigger investment is that we were able to acquire several of their grocery stores within shopping centers that we controlled, where we didn’t have the grocer. Dating a little bit further back, we had a very successful transaction with Winn-Dixie, where we acquired 5 of their freestanding locations and 1 shopping center that they owned. And subsequently, we sold off 4 of those at pretty significant profit and held on to the shopping center in the Florida Keys, which is a redevelopment asset as well as a freestanding 1 in Miami, which is now slated for future redevelopment and potentially Density. So when we look at the specifics of the Rite Aid transaction, we are in constant communication with our retailers, particularly those that are real estate rich, helping them provide, I would say, solutions for some of their liquidity needs or desires. And when this opportunity presented itself, while I can’t get too much into the economics of it because we are bound by confidentiality, I can tell you that directionally, the cap rate that we were able to negotiate is significantly higher than the core grocery products that we are seeing transact in this market. When we look at the cap rate here, it’s substantially higher than the other distribution centers that we are seeing trading in the state of California. And lastly, I would just say that we are holding it in our TRS, which provides us sort of the maximum flexibility in terms of our hold period in our exit strategy. So I am not suggesting that this is sort of a wide ranging opportunity, but selectively, we do like to take advantage when those opportunities present themselves.
Mike Mueller: Got it. So it sounds like we should be thinking about this as some sort of sale leaseback transaction as opposed to an industrial transaction where you are heading – carping path out now and going to the retailers and trying to take down some of the industrial assets. Is that fair?
Ross Cooper: Yes, exactly. There is zero landlord obligation here. It is a sale leaseback that they have leased for an extended period of time. So, we don’t anticipate that there will be any sort of operational involvement in those locations. This was really just an opportunistic investment at a point in time.
Mike Mueller: Got it. Thank you.
Ross Cooper: Sure.
Operator: Our next question is from Greg McGinniss from Scotiabank. Go ahead.
Greg McGinniss: Hey, good morning. So it was nice to see that the new leasing volume was up compared to last year, but it looked like the releasing volume was down compared to the 2019 average. Just curious what the drivers of that were and how does the pace of 2021 renewals at this point compared to the historical average?
David Jamieson: Yes, thanks. This is Dave. It’s a great question. So on the re-leasings, obviously, some of the impact was for those tenants that vacated. So that would drive down the average a little bit as a result of the pandemic. As we look forward into 2021, it’s still early. Obviously, we are only in the beginning of February, but we are continuing to see some good momentum both from options being exercised as well as renewals. But more importantly, I think when you look at that sheet at the rollover schedule the rent per square foot for ‘21 is the lowest relative to the coming years. And so when we see the mark-to-market opportunity on those, there is plenty of room to run on the spread side, so that should give us some additional lift as we secure the renewals of the tenancy and/or they exercise options as we go forward.
Greg McGinniss: Okay, thank you. And just one more for me, maybe more modeling related, but the potentially uncollectible rent adjustment in Q4 was – appeared to be a $3 million positive. Does this reflect primarily the cash basis tenants paying that rent or how should we be interpreting that number?
Kathleen Thayer: Hey, Greg, it’s Kathleen. I will help you out there. So if you look at the page, you really almost need to take the three line items that are there together. So rent abatement, cash basis tenant adjustments and then also that potentially rent income adjustment together to come up with what the total P&L impact is. And the reason for that the opposite signs or the income sign in the adjustment line is really primarily to the way that we are presenting the rent abatements. So on tenants that we are looking at the reserve and thinking there is a potential for future rent abatement, we would take a reserve on that, a general reserve. And then when the actual abatement does occur, you will see it come through our rent abatement line, but that reserve that we have put up previously is flipping in that line with the uncollectible adjustments. So, really, it’s overall the three lines together.
Greg McGinniss: So it’s not cash basis tenants paying back rent then, it’s just reflecting the timing of the abatements?
Kathleen Thayer: Exactly. The timing of the reserve was the abatement actually happens, yes.
Greg McGinniss: Okay, great. Thanks so much.
Operator: Our next question is from Michael Bilerman from Citi. Go ahead.
Michael Bilerman: Hey, good morning. Conor, you talked about the occupancy and lease spread likely widening before it starts to narrow again. So, you can talk a little bit about the cadence that you expect throughout the year between leased and occupied space?
Conor Flynn: Sure, happy to. And Dave can comment as well. What we are seeing is the demand continuing, as David mentioned earlier. The anchor side of it never really ebbed and flowed, it was pretty consistent through the pandemic as most of our essential retailers saw a lot of market share up for grab and improving their portfolio by locating in high-quality assets that weren’t typically available to them before. I do think that the big change that we have experienced is on the small shop side. And that’s what’s really I think is going to continue to improve the spread between physical and economic occupancy as we go through the year. I think historically, we were noted Glenn, probably around 275 basis points wide between those two. I wouldn’t be surprised if we eclipse that. I wouldn’t be surprised if we hit 300 just because I think there is a lot of pent-up demand, a lot of market share up for grab. And when you look at how retailers are thinking about this, the deals they are signing today are really more like 6 to 12 months out before they open. And so they feel like now is the time to grab market share so that when the reopening occurs, they are in the best position possible to soak up that market share. So, we feel like with the transformed portfolio, we are in really good shape to have that spread widen out to potentially its all-time high.
Glenn Cohen: Yes. And then just to give you a little – I was going to say, if you want just a little perspective. At the end of the third quarter, the spread was 150 basis points. We ended the year at 190 basis points. On a historic basis, our peak I think was about 330 basis points. So as we continue, obviously, this lease-up and you are seeing the leasing momentum, to Conor’s point, I would expect that we should exceed 300 basis points before it starts coming back down as those rent start flowing.
Michael Bilerman: Right. Glenn, just sticking with you as a follow-up and it’s relating to the guidance. And I think you acknowledged it’s wider and you sort of called out some impacts on questions. And I appreciate having the bottom line number. I think just given the amount of impacts that occurred in 2010 in 4Q and the likely that there are going to be significant impacts during 2021 relative to those numbers in 2020. Can you provide just a very detailed almost category line by line sort of ranges, especially on the NOI side given all the abatements and deferrals and bad debt? And I know there is a lot of uncertainty, but you did provide a bottom line number. I would say, for us, it’s actually having all the components are the more interesting and important variables. And then we know how many shares outstanding you have, we can divide to figure it out, but it’s sort of very opaque, just having this bottom line number. And so I don’t know if you can do it after the call or if there is more detail that you can provide now in terms of those impacts, both on a GAAP and cash basis. And so I don’t know I don’t know why it wasn’t provided. So maybe you can provide a little bit more detail around that?
Glenn Cohen: Again, I tried to give you a little bit of flavor on certainly what’s happening in the reserve world. Again, baked into the guidance, there is $80 million to $100 million of potential credit loss. So you have a pretty wide gap there. You do see what’s happening on the financing costs. Again, financing costs are relatively stable, except for we’re going to have less capitalization as I mentioned. So there’s about $8 million to $10 million less of capitalized interest in 2021, baked into the guidance versus 2020. G&A also was relatively stable. We did have our voluntary early retirement program, which do expect would create savings of somewhere between $4 million and $5 million a year. That’s being offset by lower capitalization of construction payroll of somewhere between $4 million and $6 million. So you have those components. Those are the major drivers of what’s sitting in there. Again, the NOI itself is really the tendency on, again, further lease-up as well as just how much impact there is on the credit work. But we’d be happy to provide some further detail after the call.
Michael Bilerman: Yes. A very clear summary of going from 4Q number and taking the 31 and breaking it out to its component parts and then matching that up to what the go-forward plan is because it’s very opaque. And even when you throw numbers out in the call, I think having it in a clear format, and I really appreciate the bottom line number. It’s all the components so that there’s no ambiguity about how numbers are being created.
David Bujnicki: Yes. Michael, it’s Dave Bujnicki. Also in terms of the NOI, as Glenn mentioned, I mean, really, the high end of our range is based on the fourth quarter annualization. And really looking at the credit loss where it could be, obviously, the high end of the range represents a continuation of the reserves of the $20 million reserve, particular in the fourth quarter or the low end is really $100 million. And really, as Glenn mentioned, the lease-up, the timing and the width of the spread between the lease and the occupancy just makes it a little bit difficult from that standpoint. And the reality is we haven’t provided much difference than we have in the past in terms of the guidance where we have here. So net neutral, but we’ll see what we could do in terms of breaking it down further.
Michael Bilerman: We haven’t been in a pandemic before, right? So I think in those times where things are much more stable. There’s just so many onetime and impacts, and some of them are buried in different allied items that carries went through, right? So I think it’s just having that income state presentation that you used to have way back wins of those line items and ranges, I think would be very helpful for the analysts and the investor community.
Conor Flynn: We will make sure to do that, Michael. We are always best-in-class in terms of disclosure. And obviously, there’s a lot more variables in the pandemic, but we can walk you through how we came through with the guidance. And we think it’s important to have guidance out there just to show that we have confidence in the growth profile of the cash flow. So we can help you through the components.
Michael Bilerman: Yes, I totally agree. And that’s – and I want to – it is a positive to have the bottom line is just trying to get the details and who knows that there’s mandated closures in your forward numbers or not at the low end, and just trying to get some of that detail around it would be helpful. Thank you.
Operator: Our next question is from Alexander Goldfarb from Piper Sandler. Go ahead.
Alexander Goldfarb: Hey, good morning. So maybe I’ll just take that just from a bigger picture active. Conor, now that you guys are – were in February, hard to believe that we are almost a year into this. You talked a lot about improvement, especially restaurants, entrepreneurs. So as we look at it, you have a 92% rent collections. You have deferrals at less than 2% in the fourth quarter. So that’s about always scary to do math on a public call, but it sounds like about 6% remaining. How do you feel about that 6% remaining credit? Do you feel like, basically, let’s call it, half of those folks will pay and be good? The other half to 3% will go tapioca or do you feel – like where do you feel – because ultimately, that’s the real question that we’re all getting at is you’re sitting here, we know there is going to be residuals, but it would also seem like right now, you have a pretty good handle on which tenants are going to make it and which tenants you got your guys ready to lock the store?
Conor Flynn: Yes. It’s a good question, Alex. And I think it’s one that changes almost weekly. I mean if you look at what happened with AMC that was pretty remarkable to see the stock run-up and have them take advantage of it. And so I think that you have to go tenant by tenant, which we can do off-line. But a lot of it comes down to the categories that were most impacted that are still closed. Or they still have significant capacity constraints. And how quickly can they get reopened? How quickly can they come back to full capacity, those are all questions that are really hard to answer because it all depends on things that are outside of our control. And so when you look at how we’ve approached it, our mentality is, if a retailer has kept their lights on, through this pandemic to this point, it’s our responsibility to try and help them make it through this last phase of it. And hopefully, this is the last phase of it. And so that’s the way we’re approaching it. And we’re trying to make sure we work with those tenants that have put their best foot forward to throw everything at staying afloat. And it’s luckily that Kimco is a big partner with a lot of these retailers that can help them and navigate the PPP funding round, can structure leases to give them the breathing room to hopefully make it through. But it is a tenant by tenant approach that we have done that really takes into account the category that they’re in, the capacity constraints that they are facing, potentially the product that they are waiting to get if it’s blockbuster movies. So, all these things are really components that make up the assumptions that come to our guidance range that we feel comfortable disclosing and feel like it’s our job to exceed it.
Alexander Goldfarb: But I mean – so basically, Conor, the 6% outstanding, are all those people’s lights on or half of their lights are off? So just a just some big picture, you must have some big picture views on that 6% remaining.
David Jamieson: I can add in a little bit here, Alex, man, this is Dave. Yes. So it does vary as Conor mentioned, but it’s not to say that in terms of uncollectible the tenants themselves are dark or they vacated, we could be working out a deal where we cut a deferment early on in the pandemic and had their collection start date in January, but say they’re on the West Coast, and they had to go through a second closing, which impacted their business more so than originally expected. We probably work with them on extending out that deferment start date, and that could be in process now and just not yet papered. So that’s not uncommon in some of these situations. While in others, we are working out what would make a reasonable agreement between both parties where we get some additional flexibility within their existing lease to reposition, redevelop parts of the center, and we are still negotiating that. So I wouldn’t by any means, take that 6% and assume that they are dark or they vacated. It’s not that it is just an ongoing dialogue with the tenants there.
Alexander Goldfarb: Okay. And then the second question is, SPACs or all the rage, you guys obviously have a success with the plus business. So are you – how are your views of raising a SPAC similar to what Simon is doing? Is that something where you would see positive because you could raise outside capital, therefore, free up Kimco capital or that’s not something that you’re really actively pursuing?
Conor Flynn: So Alex, it’s a good question. I think, obviously, there’s a crazy amount of SPACs every day. If you remember back in June, which seems like an eternity ago, we did do a press release that we were exploring an investment vehicle. Then you can extrapolate from there. What we elected to do was really focus on the core business. We felt like there was a lot of blocking and tackling that we needed to focus our time and effort on. And when you look at what’s going to drive earnings growth, what’s going to drive outperformance for Kimco and their shareholders, we believed it was focusing on the core business and then continuing to look for opportunities, focusing on retailers that are real estate rich, looking to take advantage of a dislocation in our sector because of our balance sheet strength because of our liquidity position and then provide that upside to our shareholders versus a separate entity.
Alexander Goldfarb: Okay. Thanks, Conor.
Operator: Our next question is from Craig Schmidt from Bank of America. Go ahead.
Craig Schmidt: Thank you. On previous calls, you’ve mentioned having over 10 grocer opportunity that were currently in negotiation. Thanks for the mention an Amazon Fresh. I wonder if you could update us where those other opportunities stand?
David Jamieson: Sure, Craig, it’s Dave. We executed three over the quarter in Q4 and the balance of the opportunities are in various forms of discussion. It could be early LOI stage to negotiating a lease. And that population does vary as the negotiations progress, some fall out, some new opportunities come on. But I’d say this, our regional teams are hyper-focused on exploring every opportunity with grocers at all of our locations, either backfilling existing grocery or conversion to – of non-grocery to grocery. And we’re seeing the demand drivers from really all of all sectors, whether it’s the value-oriented grocers of all the in legal to the specialties of Sprouts, Trader Joe’s and others to the more mainstream, it is really an overall effort and also the ethnic oriented grocers, whether it be 99 Ranch, H Mart, they’re all actively expanding to increase their market share in each of these markets. So we’re encouraged by that focus. And by the conversations we’ve been having with each of these operators. So we see this as a – our goal long-term is really to convert than we currently have today in the grocery.
Craig Schmidt: Great. And then just looking at Boulevard, I see that it’s 88%. Do you know what percent is open? And what is the scheduling of those openings? And then just finally, how are retailers looking at new projects versus existing projects regarding leasing?
David Jamieson: Sure. The Boulevard at Shoprite opened. They opened in and I believe October of 2020, they had an incredible opening. It was actually the biggest in their fleet’s history. So that was a great first sign of what we see as the long-term success of the Boulevard. The balance of the Junior Box tenants are scheduled to open in the second half of this year going in summer and then into the fall of ‘21. And then that will be complemented by the small shops on the first floor that will go through ‘21 into ‘22 as well. So that’s what was planned, and we’re currently on track for that. And as it relates to the demand between new projects and existing, obviously, for us, the focus is on our existing portfolio, the core portfolio. We’ve been very encouraged by the activity we’ve seen both Adena and the Boulevard through – as we’re coming through the pandemic and leasing starts to accelerate. And when you look at the quality of real estate and the quality of the projects, unfortunately, they speak for themselves and drive the demand there.
Craig Schmidt: Thank you.
Operator: Our next question is from Ki Bin Kim from Truist. Go ahead.
Ki Bin Kim: Thanks and good morning. So you guys talked about some of the cadence that we should expect in 2021, but I was just curious little more with the first quarter. What kind of impact do you think you’ll see from kind of seasonal bankruptcies?
Conor Flynn: So far, we haven’t experienced a whole lot of bankruptcies this quarter. Ray can comment on the detail. But really the last bankruptcy that was of any sort of significance was back in I think it was back in, I think it was actually…
Raymond Edwards: Middle of November, middle of November.
Conor Flynn: Yes, November, right?
Raymond Edwards: Go ahead. Star Canter filed on November 15 and actually came up by the middle of December. And we’ve had no major bankruptcies for basically 3 months now. And obviously, AMC was on our radar, but with all the creation that’s happened in the market, they have gotten themselves some breathing room. So we just keep monitoring the movie theaters, some of the gyms, but they seem to be coming out of this right now.
Ki Bin Kim: Okay. And I know this is not going to be a mutually exclusive situation. But I was just curious if there is two competing spaces, I’m sure you have some high-quality centers with high rent and you have some others that are maybe lower quality with lower rent. Theoretically speaking, is the retailer more inclined to go after your higher quality, higher rent location or the lower quality ones? And I know those aren’t mutually exclusive. And each week seller has a different target zone, but also just curious, just high level.
Glenn Cohen: Yes. It’s – there are so many variables, I guess, factored into a retailer’s decision to take any particular space. Sometimes there is a retailer that has significant demand in one of their existing locations. And so they’re looking for a pressure valve to release some of that demand on one store. So they’ll look at, say, for grocery, they will maybe take a smaller format in our center, if that was available. Some people look at book-ending a trade area and while others look to saturate it with multiple stores. Ross has a double down strategy where they will – in their higher productive markets, they’ll look to put stores almost across the street from one another. So it really just depends on where they are in terms of their fleet strategy and how it complements how they view trade areas and grabbing market share. And with the pandemic, what it’s really done is accelerate, I think a lot of the discussion that have been ongoing, whether it’s curbside, BOPUS, distribution, last mile. And so those conversations are ongoing and ever-changing within the retailer world. And so it’s incumbent upon us to stay very, very close to them, knowing that month-to-month, their view of a market or a site may vary and may change to our benefits. We want to make sure that we’re always out. So long story short, it’s really hard to peg it towards just one element. It’s a number of attributes and variables that get factored in.
Ki Bin Kim: Got it.
Conor Flynn: I would say that retailers also are very focused on the curb appeal and the accessibility as well as the convenience factor. So the four-wall EBITDA is usually very profitable for our major retailers. And so they’re really focused on making sure they get the right real estate. And right now, they have been taking advantage of, I think, some of the market share that’s up for grabs, where some of the weaker players are not necessarily defending their flank and they are coming in and being able to upgrade their portfolio quality.
David Jamieson: Yes. And I would actually – sorry, just add 1 more thing to Conor’s point. Retailers are also looking at well capital landlords into this idea of curb appeal. I mean we’ve invested a tremendous amount, making sure that our centers show extremely well and are the highest class in any given market, which we represent. But it’s really long-term, making sure that the landlord themselves can continue to make those investments to make it as appealing as possible to service their customers, which are the same as our customers. And that does factor in as well.
Operator: Our next question is from Juan Sanabria from BMO Capital. Go ahead.
Juan Sanabria: Thank you and excellent pronunciation, operator. Just curious if you guys could give a little bit more flavor with regards to AFFO or FAD relative to your NAREIT FFO guidance? And as part of that, how to think about taxable income given your comments on how you’re, at least, as the kind of the worst case, correct me if I’m wrong, for the dividend going forward, it’s readjusted?
Glenn Cohen: Well, we’re targeting the dividend, at least, to be really right at around taxable income. And for the most part, that should bring us to a level where our AFFO would probably be in the mid-70s as a payout ratio. So that’s kind of where the target is. Again, you have the difference of the capital that’s spent on TIs and leasing commissions and CapEx, obviously, that are the reconciliation between FFO and the AFFO but that’s kind of where we see it. Taxable income, we continue to look for all sorts of tax strategies to manage it and keep it in check. But again, I think you can get a better flavor once we meet, again, with our board and we declare our first quarter dividend.
Juan Sanabria: Great. Thank you. That’s it for me.
Operator: Our next question is from Linda Tsai from Jefferies. Go ahead.
Linda Tsai: Hi. In terms of staying opportunistic during this time of disruption, are there specific markets where you’re seeing better opportunities, like maybe regions where lockdown restrictions were stricter or is it not so black and white?
David Jamieson: Yes. It really hasn’t been geographic in nature. I think it’s very specific to individual circumstances. So as we talked about a little bit previously, we have started to see some additional opportunity from owners that have specific capital needs for their assets, whether it’s repositionings or debt maturities. So I wouldn’t necessarily break it down in terms of a trend in terms of location, geographics or property type. It is sort of a specific circumstance of that individual owner or investor.
Linda Tsai: Thanks. And then I think earlier, you guys said that you are seeing more demand for space from fitness operators. Is this from existing ones or new entrants?
Conor Flynn: We’re seeing demand from a lot of value-oriented fitness operators, The Planets, The Crunches of the World, where I think they see the opportunity here again to enter markets or centers that otherwise weren’t previously available. And I also think the price point that their servicing and providing is probably appropriate coming out of the pandemic to start. That’s usually where they see the quickest expansion opportunity. With that, I’m sure we’ll see variance of boutique fitness that emerge it always is the case. Obviously, the at home, the online app trends that been developed through the pandemic. I’m sure as forms of that will transfer over into brick-and-mortar and the four walls, and then we’ll see a combination of all those come together.
Linda Tsai: Thanks. 
Operator: Our next question is from Floris Van Dijkum from Compass Point. Go ahead.
Floris Van Dijkum: Thank you. Van Dijkum. Thanks for taking my question. Conor, and you guys had some interesting comments about your land value and about obviously, you have indicated you’re looking at doing more grocery anchor deals, obviously, grocery anchor adding to your existing centers, but also may be looking at buying grocery anchored centers. What is the – how do you think about the relative value of grocery anchored versus lifestyle centers? No one seems to talk about lifestyle centers these days? And also maybe talk about the opportunity that you have within your ground rent portfolio. And is that being undervalued? And how do you look at all those components?
Conor Flynn: It’s a good question, Floris. When we see the grocery opportunity, it’s, first and foremost, being led by the demand we’re seeing from all the different grocery categories that Dave outlined. It’s interesting. There’s a big cap rate difference when you have a grocery-anchor versus when you don’t. And we have a lot of products that lends itself to just leasing up boxes to grocery stores, which, in my opinion, is the best risk-adjusted return we can find today. And so that’s where our focus is. And we have these deep relationships with these retailers that are looking to expand. And so we have, I think, a deep pipeline of opportunity there that we want to take advantage of. And that may lend itself to acquisitions as well in the future. Where we can buy assets that don’t necessarily have a grocery component, but we have the connections, and we have the wherewithal to sort of line up that grocer before we even close on that asset. So it does compress the cap rate. It does start to generate some additional traffic flow, some cross-shopping that usually leads to higher rents in the surrounding spaces, and that’s the secret sauce. You want to sort of get that lift without paying for it. So we are encouraged by what we’re seeing so far. We have a lot of work to do, but we feel like the strategy and the focus is there across the organization. On your second question between lifestyle and grocery anchored, like Lifestyle is sort of the dynamics that got hit hardest from the pandemic, right? If you think about lifestyle, it’s usually heavily loaded with restaurants and entertainment, and most of those leases are percentage rent driven. And so you sort of live and breathe with the success of your retailers. And so in the best of days, you’re killing it and the worse today is, you’re taking it on the chin just like they are. So it’s one of those product types that I think is very volatile. It’s not very essential and defensive. But there’s opportunity there if you can underwrite it correctly. I’m not sure we’re going to be playing in the pool of lifestyle centers, but we’d like to underwrite everything just to get a sense of where we think we can add value. And maybe lifestyle portions of lifestyle centers lend themselves to a repositioning to a grocery anchored center or maybe some of them can be unlocked for future densification through entitlement work. So that’s where our platform really comes and has value as we feel like we can look at the real estate and not necessarily just judge it on the way it sits today, but try and what envision should be there with the blanks late. And then have our team go and unlock that highest and best use in that value for our shareholders. And so that’s the way we look at real estate.
Floris Van Dijkum: Thanks. Thanks, Conor, for that. And in terms of your ground rents portfolio and Ross, maybe you can comment on this. I think you have something like $100 million of ground rents. I mean the cap rates on those things are really tight these days and probably underappreciated by the market. What about doing a larger scale transaction to realize some of that value?
Ross Cooper: Yes. No, you’re exactly right. I mean, I think the value is underappreciated for that product. The challenge that we would have of unlocking that is that a significant amount of that is contained within some of our best assets. So it’s one thing to have a freestanding ground lease with a high credit investment-grade tenancy. It’s another when that ground rent is contained within the heart of some of our best assets. So we obviously want to retain control as much of the GLA and the acreage of our best assets to enhance and create future opportunity. So we’ve certainly been approached, and we know that there is underlying value in a lot of those leases. But our objective is to retain that and to continue to turn that into future value because those, in many cases, are the lowest rent, large parcels that one day could be something significantly greater.
Conor Flynn: Yes. The other initiative we have, as I mentioned, is on the entitlement side. I think we’ve done a number of apartment complexes on ground leases. And I think that bodes well for our future to do more of that to help unlock the value, also control the real estate and start to continue to expand that percentage of ABR coming from ground leases, which I think is now over 11%.
Floris Van Dijkum: Is there any sort of can you quantify what the future potential of something like ground rents under apartment complexes could be?
Conor Flynn: We did start to disclose the entitlements on the supplemental, and you can start to extrapolate valuations there on a per unit basis, and we can help you on some of the ground lease deals that we’ve done so far that we feel like is a good barometer for the future.
Floris Van Dijkum: Thanks, guys. Appreciate it.
Operator: Our next question is from Chris Lucas from Capital One. Go ahead.
Chris Lucas: Hi. Good morning guys. I just wanted to go back to the dividend policy, if I could. Normally, at this point, you guys would have declared a first quarter dividend. Just kind of curious as to whether you’re going to be paying quarterly dividends. Should we interpret much in sort of the first dividend announcement as it relates to future run rate? Or is the focus going to really be on getting to sort of year-end and just paying out the taxable minimum? So it could be a little lumpy.
Glenn Cohen: Chris, no, we’re planning to do quarterly dividends as we always have, and we didn’t even – we did quarterly dividends even during 2020. So we temporarily suspended it and we shifted the timing. So we’ll meet with our Board later this month and declare the dividend for the first quarter and it will be paid in the first quarter. And we do plan to have, as I mentioned, a more normalized dividend level that will reflect closer to taxable income. So I think you’ll see a normalized level and something that, over time, we should be able to grow from.
Conor Flynn: Yes, Chris, the dialogue with the Board was focused on, really, since we’re in the midst of the pandemic still, why don’t we see what we collect, when do we see what the rent is that’s coming through the door for the first quarter before we announce the dividend. And I think that’s just logical. I think that’s the way we – in terms of understanding what we really have before we elect to a dividend amount.
Chris Lucas: Okay. Thank you.
Operator: Our next question is from Paulina Rojas from Green Street. Go ahead.
Paulina Rojas: Good morning. Could you please provide an update on the performance of your tenant assistance program, particularly as it relates to the last round of PPP loans? Are your tenants taking advantage of these resources in a meaningful way, in your opinion? Also, more broadly speaking, what is your assessment of the health of your local small tenants? Are you worried? Not so much?
Conor Flynn: We have seen good engagement on the tenant assistance program, really, the partners that we align with our best-in-class in terms of navigating the PPP funding round. The details are – we have a couple of hundred already engaged with that program. I think it was – Dave, correct me if I’m wrong, was $300 million or $400 million.
David Jamieson: I think it’s around $300 million.
Conor Flynn: $300 million. So it’s been so far, so good, but we are waiting to see, obviously, how much funding they’re able to process. And again, I think at this point in time of the cycle, there is people that need the access to capital, and it was our mission to make sure that we give them the fastest path possible to get access to that capital. And then, Dave, do you want to comment a little bit about our small shops?
David Jamieson: Yes. With our small shops, we’re actively speaking to each of them on a regular basis. Some have done fairly well through this, while others continue to struggle. That’s no surprise, I think, to anyone, but the small shops are the lifeblood that we want to continue to hold close to ourselves to make sure that we provide all the resources and the tools that they need to get through the pandemic and that they’re in the best position on the best footing to really thrive on the back end of the so we continue to work very closely with them and TAP is a great example of one of those tools that we deployed early on than we redeployed when the second round of assistance came and we will continue to modify and provide additional resources as needed to help build their business back.
Paulina Rojas: And then a second question do you think there are tenant categories that will emerge from this pandemic more permanently damaged? And do you see any structural changes? I’m trying to think beyond the temporary impact of social distancing measures and such, and know your opinion about tenant categories that this thing will take longer to heal?
David Jamieson: Well, I think in terms of structural changes, again, I think COVID and the pandemic were catalyst to trends that were already emerging, whether it’s BOPUS, curbside, etcetera. These are conversations that we’ve had for several years prior to the pandemic. It just pulled all those efforts forward. And essentially, overnight, we are required to deploy and build out the infrastructure to support that. So I’d expect just the efficiency of how consumers and retailers engage with each other will continue to improve and with that will create new opportunities, whether it’s wholesale modifications or changes to business strategy, it’s hard to tell. It really is case by case, but I think it just does give retailers more opportunities to create touch points with their end customer. And for us, it’s important that as a landlord, we invest time and the resources necessary to make sure that we’re the desired location for those retailers and get built into the social fabric and behavior of the customers to make sure that they always return back to our centers. And that’s where the engagement both to the shopper as well as the retailer is really important for us is to best understand how these trends are emerging.
Paulina Rojas: Thank you.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to David Bujnicki for closing remarks.
David Bujnicki: Just want to thank everybody that participated on our call today. Please continue to be safe and I wish you the best during this earnings season. Thanks so much and take care.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.